Operator: Good afternoon, everyone, and thank you for participating in today's conference call to discuss Research Solutions, Inc. Financial and Operating Results for its Fiscal 2025 Third Quarter Ended 03/31/2025. As a reminder, this call is being recorded. I would now like to turn the conference over to your host, John Beisler, Investor Relations. Please go ahead.
John Beisler: Thank you, operator, and good afternoon, everyone. Thank you for joining us today for Research Solutions, Inc.'s third quarter fiscal year 2025 earnings call. On the call with me today are Roy Olivier, President and Chief Executive Officer, Bill Nurthen, Chief Financial Officer, and Josh Nicholson, Chief Strategy Officer. After the market closed this afternoon, the company issued a press release announcing its results for the third quarter of fiscal 2025. The release is available on the company's website at researchsolutions.com. Before we begin our prepared remarks, I would like to remind you that some of the statements made today will be forward-looking and are made under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those expressed or implied due to a variety of factors. We refer you to Research Solutions, Inc.'s recent filings with the SEC for a more detailed discussion of the risks and uncertainties that could impact the company's future operating results and financial condition. Also on today's call, management will reference certain non-GAAP financial measures which we believe provide useful information for investors. A reconciliation of those measures to GAAP measures is included in today's earnings press release as well. Finally, I would like to again remind everyone that this call will be recorded and made available for replay via a link on the company's website. I would now like to turn the call over to President and CEO, Roy Olivier.
Roy Olivier: Thank you, John. Overall, I'm pleased with the Q3 results. The investments we have been making in sales and marketing are starting to pay off. We had strong gross and net ARR bookings across all three sales teams. The net new deployment number of 43 during the quarter takes us up to 150 on a trailing twelve-month basis, and I'm happy with that number. We are all excited to have taken ARR above $20 million for the first time, and the $1.2 million incremental ARR for the quarter is a strong result as well. I also want to note that our AI-based products are showing strong growth. On a year-over-year basis, growth is strong across the board, but in the B2B enterprise license segment, we saw a 180% increase over the previous year quarter. We will talk about our AI strategy in more detail later, but it is working. And I think the results should provide some comfort to our investors that we are on the right track and have the right strategy in place to provide AI-based solutions that research-intensive organizations need and want. I'm now gonna pass the call over to Bill to walk through our fiscal third-quarter financial results in detail. After Bill's portion, I will be back to address where we are in more detail, and Josh Nicholson, the founder of SITE and our Chief Strategy Officer, will provide some additional context about our AI strategy. Bill?
Bill Nurthen: Thank you, Roy. And good afternoon, everyone. Before I begin, I want to go through the financial results today, I would like to make a couple of statements. First, the SITE acquisition is now fully anniversaried. As a result, all comparisons for this quarter to the prior year quarter are now fully organic. Second, if you are a long-term investor, you have heard us discuss the transformational impacts of our ongoing revenue mix shift to SaaS revenue. This quarter is a prime example of those impacts as we achieved a number of milestones and records in the quarter. Margins and cash flow have expanded as we have navigated the company from $10 million to $20 million ARR, and we expect similar type expansion as we continue to grow ARR onwards to our next target of $30 million. Turning to the results. Total revenue for the third quarter of fiscal 2025 was $12.7 million compared to $12.1 million in the third quarter of fiscal 2024. Our platform subscription revenue increased 22% to $4.8 million. The growth was primarily driven by growth in SITE B2B and B2C platform revenue. However, we also experienced growth in both revenue and net new deployments in our core Article Galaxy product. Platform revenue accounted for about 38% of our total revenue for the quarter compared to approximately 33% in the prior year quarter, as this mix continues to move up into the right. We ended the quarter with $20.4 million in annual recurring revenue or ARR, up 23% year over year. The result was impressive for a couple of key reasons. First, similar to last quarter, the growth was broad-based. Across both SITE and Article Galaxy between both new sales and upsells and between both B2B and B2C. Second, B2B experienced net incremental ARR growth of $736,000, which is a company organic record for a quarter, and compares to growth of only $38,000 in the prior year quarter. I will note that there were some one-time larger churn items in last year's Q3. However, regardless, the result is impressive. The ARR is broken down as $13.5 million in B2B ARR, and $6.9 million in normalized ARR associated with SITE's B2C subscribers. Net incremental ARR growth in the quarter was approximately $1.2 million, and we had 43 net B2B platform deployments. Please see today's press release for how we define and use annual recurring revenue and other non-GAAP terms. Transaction revenue for the third quarter was $7.8 million compared to $8.2 million in the prior year quarter. Q3 is seasonally our best time for transactions, and while this quarter was the highest result of this fiscal year, it was down 4% to the prior year quarter. The reason for the decrease was that paid order volume was simply lower in the quarter compared to last year. It is too early to tell if this is something unique to this quarter or if it is a longer-term trend, perhaps economic or otherwise, but we will continue to monitor and report on it. Our total active customer count for the quarter was 1,380, compared to 1,426 in the same period a year ago. Gross margin for the third quarter was 49.5%, a 430 basis point improvement over the third quarter of fiscal 2024. The increase is due to the ongoing revenue mix shift towards our higher margin platforms business, and we are now on the doorstep towards pushing through 50% plus blended gross margins. In addition to the revenue mix shift, we also experienced gross margin improvements in both our platforms and transactions business lines. The platforms business recorded a gross margin of 87.4%, a 180 basis point increase compared to the prior year quarter. The result is primarily related to lower labor costs as we scale the business partially offset by hosting costs, which increased proportionally with revenue. Gross margin in our transaction business increased 30 basis points to 26%. The increase was related to higher copyright margins. I will note that these are really strong results for both platforms and transactions. As a result, it is likely you will see these margins dip down in future quarters, but we do not expect to see any material changes in what the company has experienced with respect to these margins over the last twelve months. Total operating expenses in the quarter were $5.7 million compared to $5.4 million in the prior year quarter. The increases were nearly all isolated to the sales and marketing line of the P&L, where we are deliberately making investments. We are pleased to be able to make these additional investments in growth as we are largely able to hold the line on other expenses. Turning to profitability. The company reported income from operations of $557,000 compared to $88,000 in the prior year quarter. Net income was $216,000 or $0.01 per diluted share, compared to net income of $76,000 or nil per diluted share in the prior year quarter. I wanted to make a few statements here regarding the SITE earn-out. First, we did not make any adjustments to the SITE earn-out estimate for this quarter. Second, this earn-out will be finally determined as we close our Q4, and we will provide an update then on the final earn-out amount and any final adjustments required to our estimate. Lastly, GAAP requires us to present the present value of the earn-out on the balance sheet and essentially unwind that present value through the other expense line as we start making payments on the earn-out. This is why you see a negative other income in the negative below the line other income in the P&L as we expensed $406,000 in the quarter related to this unwinding of the present value. Regardless of this expense, we were still able to generate $216,000 of net income in the quarter and have a beat to last year's result. Turning to adjusted EBITDA, we set a new company record in the quarter. Adjusted EBITDA was $1.4 million compared to $961,000 in the year-ago quarter and just edged over the prior company record for EBITDA, which was set in Q4 of last year. On a trailing twelve-month basis, our adjusted EBITDA is now $5.1 million, which represents a 10.4% margin. We believe crossing through the 10% adjusted EBITDA margin to be an important milestone for the company and that this margin can continue to expand as ARR grows. While the adjusted EBITDA result was strong, the thing I was pleased with most was our cash flow performance in the quarter. Looking at our balance sheet, cash and cash equivalents as of 03/31/2025 is now reported at $9.9 million versus $6.1 million on 06/30/2024. Cash flow from operations in the quarter was approximately $2.9 million compared to $2 million in the prior year quarter, and $4.8 million year to date compared to $1.6 million last year. On a trailing twelve-month basis, we have now generated over $6.7 million in cash flow from operations. These are material increases over the prior year, and our cash balance continues to grow rapidly, positioning us well to pay the SITE earn-out as well as remain flexible when it comes to using the cash for strategic considerations. As of quarter-end, there were no outstanding borrowings on our revolving line of credit. In conclusion, we are very pleased with the results of the quarter and think they are in line with what we have been communicating to investors and indicative of the future value in the company that can be realized as we continue the ongoing revenue mix shift towards higher margin SaaS revenue. As we look ahead, similar to prior years, we are expecting a strong finish in our final quarter of the fiscal year. Even if transaction revenue declines and is seasonally down sequentially, we still have the possibility to attain a Q4 adjusted EBITDA result that is similar to what we saw in Q3. Regardless, in many respects, it will be another record year for the company and one that continues to see us executing on our ARR growth plan. I'll now turn the call back to Roy. Roy?
Roy Olivier: And you may be muted, Mr. Olivier.
Roy Olivier: Yeah. I was. Thank you. The last quarter or two, we've talked about investments we've been making in sales and marketing. I think it's critical to our long-term strategy to build a professional and disciplined sales and renewal team. It is the cornerstone of our value creation strategy to cross-sell new products internally developed or acquired into our base of customers. I continue to be excited about the progress that we're seeing in this area. Marketing has been executing at a high level for quite some time. All sales teams are starting to show better results. Higher average sales price, improving close ratios, based on the adoption of the new approach and sales process we started in early FY 2025. When we built out a dedicated academic and corporate team. I'm very pleased with the progress today. I'm now gonna ask Josh to step in and talk a little bit about our AI products. And then I'm gonna circle back to talk about the general environment as it relates to some of the budget cuts and some other details related to our performance. Josh?
Josh Nicholson: Thanks, Roy. As I shared on our last call, AI is central to what we're building at Research Solutions, Inc. By combining exclusive access and rights to global research content with a real understanding of how researchers work, we're creating a scientific research platform for an AI-driven world. This isn't a side bet. It's the future of the company, and we're leaning fully in. The numbers we're reporting today show that we're executing on that strategy. As companies and researchers look to figure out their own AI strategy, they're increasingly turning to SITE as it offers the best coverage in research-focused workflows for their tasks, and importantly, hallucination mitigation. For academic customers, it provides a transparent and ethical AI which can be deployed across a university campus. From a product perspective, we have deployed several new LLM models into SITE Assistant this quarter, allowing users to select from different providers and providing cutting-edge advances in AI to our unique corpus of research articles. We have also deployed a new tables mode in SITE Assistant that allows you to leverage AI for data extraction. Think about creating a spreadsheet with AI analyzing reports based on whatever data you need. Sample size, study limitations, statistics, etc. We'll continue to remain model agnostic and can deploy new models within days of release, including deep reasoning models. This flexibility supports customer demand and allows us to further delineate features available to B2B customers versus B2C customers. As some of you may have seen, a recent headline in the New York Times reported AI is getting more powerful, but its hallucinations are getting worse. This past month, I visited numerous large customers in Denmark. A recurring piece of feedback was that SITE was valuable to them specifically for the mitigation of hallucination. They expressed continued frustration with ChatGPT making things up and then having to deal with the request for articles that didn't exist. This challenge might seem completely new, but is reminiscent of the early days of the web where new pages of information were being created at a scale never seen. As Google cofounder Sergey Brin and Larry Page noted in their seminal paper, web pages proliferate free of quality control. Think of all the content proliferating free of quality control through LLM. What emerged out of this Cambrian explosion of information in the early days of the web was the better way to rank content. Specifically PageRank, from Google. PageRank was directly influenced by academic papers and citation analysis, and I quote, page rank provides a more sophisticated method for doing citation counting. Over the past decade, SITE has been working to improve academic citations which we call smart citations. As a reminder, unlike traditional citations, Smart citations expose the actual in-text citation statements from citing articles, show where those statements appear in the document, and indicate whether the cited claim is supported or contradicted. These enhanced snippets don't just offer better context. They enable smarter, verifiable knowledge. This, crucially, these smart citations allow us to leverage the flexibility and power of AI but to do so in a trustworthy way, eliminating hallucination. This is not 100% perfect, but it is market-leading owing to the access and content we have. It is a core differentiator of SITE and very often how and why we win deals. The SITE product is also a finalist in the Society of Scholarly Publishing's epic award. Very happy about that. In addition to the work on SITE and SITE Assistant, we have also brought over the core of SITE and AI into Article Galaxy. Helping users as they access articles easily find supporting or contrasting evidence and better assess the relevancy of an article with full-text excerpts preview. By empowering AI in a trustworthy way across products, we enhance user workflows, save researchers and organizations time and money, and, crucially, help them make sure they are using reputable information. We also continue to make progress with our AI data strategy regarding adding additional publishers' content into SITE. We added an additional publisher during the quarter. We also added eight publishers to our new PDM/AI rights product that will allow customers to purchase AI rights for their articles they purchased and articles they already have in their library. Finally, we have added two new publishers to Article Galaxy, and we continue to focus on adding new content to SITE AI, adding the ability for customers to acquire rights if they do not have them, and adding new publisher agreements for the AG platform, in addition to our efforts to deepen our workflows for users. With that, I'll turn it back over to Roy, and I look forward to any questions.
Roy Olivier: Thanks, Josh. One other comment about our results. I am, and Bill is, as you know, rule of 40. People. We'd like to see our platform growth and EBITDA margin equal 40 or greater. We have been a long way from that the last couple of years with a 25 and 16 result for FY '23 and '24. For the quarter, we're at 34.1. And, on a trailing twelve-month basis, we're at 33.1. So we're excited about making that progress, and we're looking forward to making more progress toward the rule of 40. Regarding the rest of the business, I'd like to start by noting the recent budget cuts in government and academic institutions. Many investors have asked us how this impacts our business. Today, we have not seen any material change in churn, or in the sales pipeline because of those actions. That said, there are several moving parts that may impact our business in the future. Many of the cuts will impact academic library budgets. We do not think they will materially impact corporate accounts that we service today. As a reminder, we offer two products to our academic customers today. SITE, which is a search and AI-based analysis platform, is typically much less expensive than the incumbent search platforms in libraries today. We also offer Article Galaxy Scholar, which allows a library to access and buy peer-reviewed scientific research on a document-by-document basis that is not covered by an existing subscription. Libraries that subscribe to all publisher content will not need AGS. Ones that partially subscribe can use AGS to fill in the gaps. While publishers prefer subscriptions, in the cases where libraries do decide to drop one or more subscriptions, the publisher will earn some revenue on the documents we deliver as part of AGS. If the library cancels a subscription, and does not have AGS, those documents are provided by something called ILL or interlibrary loan which generates no revenue for the publisher or Research Solutions, Inc. In short, downward pressure on library budgets we view as an opportunity. As a reminder, the US is about 55 to 60% of our total platform revenue, and academic libraries are about a quarter of our platform installs. While some of our corporate customers will be impacted by tariffs, it is not clear today if that will have any impact on their research spending. It does put pressure on research budgets. The dynamic will be similar to academic in terms of AG providing a pay-as-you-go model versus subscribing to all content from all publishers. While we don't see any material impact on our business today, it will take a couple of quarters for us to understand the consequences of these cuts. Regarding M&A, we have nothing relevant to report although we will continue to review opportunities and work to build an actionable pipeline. As we have been executing financially and building a cash balance, our stock price has gone backwards. Given where we are, it's fair to ask if holding the cash for acquisitions is the only option. I have nothing formal to report other than we are looking at those options and we'll report on the outcome of those discussions in the future. Ultimately, we have great momentum in the business, and we believe we will continue to build value with each quarter we report. We will continue to look for new and different ways to further increase shareholder value. Now I'll turn the call over to the operator for questions. Operator?
Operator: Thank you. You may remove yourself from the queue by pressing star 2. Once again, that is star 1 to signal. And star 2 to remove yourself. I will pause for just a moment to allow questions to queue. We'll hear first from Jacob Stephan with Lake Street. Please go ahead.
Jacob Stephan: And
Operator: Mr. Stephan, you may be muted. Pick up your handset. We'll move next to Richard Baldry with Roth Capital. Please go ahead. Your line is open.
Richard Baldry: Thanks. Your adjusted EBITDA has been setting some pretty strong numbers and very strong year-over-year growth. So I'm sort of curious your thoughts on how much you could, you know, sort of shift gears, spend more into the sales and marketing line and proactively drive faster growth. I'm trying to figure out is it more of a growth taker where you can grow with the market itself, or can you be a growth maker where if you can put more heads in is there a market share to be taken or greenfield, you know, space to be adopters?
Roy Olivier: That you couldn't necessarily get to with the team you've got right now?
Richard Baldry: Yeah. I think the reason we've been making the investments in sales and marketing and more recently, sales teams by splitting the teams, training the teams, adding more people to the teams, and forcing use of a new solution-oriented selling process versus what we did in the past is that I'd like to get to the point where we have a fairly predictable model there. In other words, on the B2C side, we invest in primarily digital advertising, it drives trials. Trials drive subscriptions. It's a very predictable customer acquisition cost number that generates a lifetime value number out of that. So we can dial up or dial down expense to get to where we want to go. And as we start to see negligible improvements or those ratios change materially, we simply lower investment back down. I'd like to do the same thing on the B2B side. And on the marketing front, I think we have very good metrics, very good tracking. We know when we invest what we're gonna get out of it in terms of marketing qualified leads. I think with the progress that Seth and our new Chief Revenue Officer is making, we're starting to build out that predictable professional, disciplined sales process and sales team that I think would give me more comfort to say, okay. If I throw another million dollars at this, this is what we can expect to get out of it. My hesitation to do that historically has been it was not predictable. It would have just been a throw some money at it and see what happens. So I think we're close to being able to answer that question with a lot more confidence than we can today. And, you know, back to rule of 40, if we think we can invest more and drive more top-line growth, we'll definitely make that change. Thanks. And
Richard Baldry: last for me would be, you know, we're talking more and more of the companies I'm talking to are talking about what they can do with AI internally in processes and anywhere from, you know, accelerating greatly the R&D processes and development processes to streamlining operations and lower actually, outright lowering cost. So you talk to some extent about how much you think AI can do that for you? You know, can it alter sort of the long-run rule of 40 concept to make you more streamlined for efficient internally? Thanks.
Roy Olivier: I think it can, and I don't think we put enough emphasis on utilization of AI internally to improve productivity or other processes. I think the sales teams are doing actually a pretty good job with that, with the new sales process for researching background, what's CEOs have said about the strategic initiatives of the company and how that might tie into a discussion we're having with that company? But, in fact, this month, we are starting as part of our all-manager meetings, which we have every month. The managers are going to report starting this month on what they're doing with AI internally to improve their part of the business. And so I think that's a discussion we need to continue to have. But honestly, as you know, two-thirds of our workforce is in Mexico, at labor rates that are materially lower than the U.S. or European labor rates. So frankly, the piece of the business I'm really interested in utilizing AI in is getting a kind of a force multiplier on R&D, on software engineering. You know, the CEO of reported a material percentage of their new code is being written by AI, and we're not anywhere near that number. And given our size, we certainly would like to improve dramatically what we're doing with AI to write new code. And we'll continue to work on that looking forward. I don't so my point is, I think we're focusing on AI as a productivity enhancement as opposed to cost reduction. However, if we see opportunities for cost reduction, Bill and I are pretty good about chasing those. Great. Thanks.
Operator: And once again, ladies and gentlemen, that is return to Jacob Stephan with Lake Street. Please go ahead. Your line is open.
Jacob Stephan: Hey, guys. Appreciate you taking my questions. Just hop in there. Be between a few calls here. So apologies if I double click on something. Overall, kinda wanted to get your feedback on kind of the new logo versus cross-sell teams. And any color you could kinda give around the sales performance this quarter?
Roy Olivier: Yeah. The new logo teams did well. They were, well over half of our total new bookings number for the quarter. I kinda look at gross new bookings and then back out churn. Corporate team and academic teams performed almost equally in terms of their revenue split between academic and corporate. And keep in mind, we had no academic team last year, so that was a nice progress from just creating that team in July of last year. And the upsell renewal team, I think, had a fairly strong quarter as well. I think academic was very strong. I think corporate was strong to very strong. And I think the renewal upsell team had a good quarter. We still have work to do predominantly on the churn side. And, we still have some work to do in reorganizing, redeploying how we manage our accounts. You know, we're taking an approach where we've kinda split our accounts into top third that we expect to provide white glove service to middle third that will still have a lot of human interaction, a tremendous amount of service, but not quite as much of the top third who generates more than half of our revenue. And then the kind of the bottom third in terms of, trailing twelve-month revenue, we'll handle through less human touch and more automation. More automation that reinforces through reporting that's automatically generated into the administrator and the business leaders in the account. What the product is doing for them. So as we look into FY '26, you know, we'll be investing in building better analytics tools that we can incorporate into the conversations at the tier one and tier two level and incorporate into automated reporting for the tier three teams.
Jacob Stephan: Got it. Very helpful. And maybe just, you know, checking in on B2C. Obviously, you know, you've kinda got classes beginning to wrap up. In May here. I'm just wondering if you're starting to see any, you know, trends in line with normal seasonality or where things are differing.
Roy Olivier: Yeah. We've definitely seen it weakening, already in terms of, you know, trials and sign-ups. I will say we made you know, we're big on trialing new ways of appealing to either visitors to the website or people in the trials. We made some changes have materially improved our conversion rates but I don't think that's gonna offset ultimately the softness that's kinda starting now and will continue through the June.
Jacob Stephan: Okay. Good. That's helpful. Anything you wanna add to that?
Bill Nurthen: I was just gonna add on the prior point that upsells as far as the renewal and upsell team, as far as upsell, cross-sell, they had their best quarter of the year. By far in Q3. And keep in mind, you know, that upsell includes upsells to our existing AG customer, but also includes a lot of cross-selling into, you know, SITE product into AG customers, which we had a very solid quarter on and continue to see a lot of opportunities there. So I just wanted to mention that.
Jacob Stephan: Okay. I appreciate all the color, guys. Thanks.
Operator: Thank you. And ladies and gentlemen, as there are no further questions at this time, I'd like to turn the floor back over to Roy Olivier for any additional or closing comments.
Roy Olivier: Yes. Thank you, everyone, for joining us in today's call. As a reminder, we will be participating in the East Coast IDEAS Conference in New York on June 11. If you're a qualified investor and would like to attend, please contact Three Part Advisors. We look forward to speaking to you in September to discuss our fourth quarter and full year fiscal 2025 results, and have a great day.
Operator: Thank you. Once again, ladies and gentlemen, that will conclude today's call. Thank you for your participation. You may disconnect at this time, and have a wonderful rest of your day.